Operator: Ladies and gentlemen, thank you for standing by. And welcome to the Karora Resources Third Quarter 2020 Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. [Operator instructions] I would now like to hand the conference over to Mr. Paul Huet, Chairman and CEO of Karora Resources. Sir, you may begin.
Paul Huet: Thank you, Operator. Good morning. And welcome to the Karora Resources third quarter conference call. In addition to me speaking on today’s call will be other members of the Karora executive management team. Graeme Sloan, Managing Director of our Australian Operations; Barry Dahl, Chief Financial Officer; and Oliver Turner, Senior Vice President of Corporate Development and Investor Relations. This morning we issued a news release outlining another strong performance in the third quarter of 2020. Our MD&A and financial statements for the period ended September 30, 2020, have been filed, all of which are available on the Karora website at www.karoraresources.com or under Karora’s profile on SEDAR at sedar.ca. Before I begin the presentation, I would like to remind you to please review our cautionary statements regarding forward-looking information and non-IFRS measures, which can be found in our Management Discussion and Analysis, news release and in our presentation slides. Truthfully, I’m thrilled with the results from the third quarter of 2020, as we continue to meet or exceed our production and cost targets, while achieving numerous corporate objectives, positioning Karora for an exciting future as a growing growth -- as a growing gold producer. Today, we have a massive land patch -- pack -- sorry, today we have a massive land position with over 1,800 square kilometers in one of the most prolific gold regions in the world and we are making the necessary investments to systematically complete the technical work necessary to convert the enormous potential in Western Australia into growth that will continue to drive increased shareholder value. In September, we announced a substantial investment to aggressively increase our drilling across Western Australia with a 50% increase to our budget for a new total of A$15 million. I just want to remind investors that we had several months of live drilling during the second quarter and third quarter. This was the result of our strict and successful COVID-19 precautions at all our sites. But since we’re starting drilling and expanding our budget, we have been aggressively trying to catch up with drilling that should have been completed earlier in the year and put towards our resource and reserve updates. With the shortage of available drills and actually highly skilled people in Western Australia, due to state border closures, completing this work has been extremely challenging and I’m very proud of our operations team for successfully getting it done, despite the challenges we faced and overcome yet one more time. There is absolutely no doubt that our decision to increase our drilling investment is already paying off, with three new discoveries at our Beta Hunt and I’m looking forward to providing the market with more drilling updates as information becomes available. Graeme will discuss these three new discoveries in more detail during his presentation. But just imagine, we’ve had two new gold discoveries and one new nickel discovery in such a short period and that’s all since we’ve renegotiated the royalty at Beta Hunt and it’s been all hands on deck on the drilling and mining since we’ve accomplished that. All of this new drilling and the new discoveries will be included in our new updated resource and reserve statement that we’re expecting to get out by the end of the year. Our reserve and resource update later in this year will be followed by important details of our exciting organic growth outlook and our plans to take Karora to the next level by fully leveraging our enviable pipeline of opportunities. We expect to provide this new plan in the first quarter of 2021. Rest assured, after delivering five extremely strong consecutive quarters of gold production, reducing our costs and maintaining an excellent safety track record, we’re not going to take our foot off the gas at this time. We have growth in our sites and we will be excited to share it with our shareholders once our work is complete. In short, I really believe that the best is yet to come for us and our shareholders. When I turn and look into the third quarter, gold production was right around 25,000 ounces and our downward trend on ASIC continued dropping to US$1044 per ounce, which is a $21 per ounce lower compared to the second quarter, despite a strengthening Australian dollars during the quarter, which added $84 per ounce to our cost. This is our fifth consecutive quarter of reducing ASIC. It is a result of our strategy to focus on the cost reduction initiatives centered around those inputs that we have control over, such as the royalties, the vendors, the productivity dates, getting the right people, those are just to name a few. It is even more impressive when you consider the pressures from the natural disasters we face, the additional COVID-19 costs, and just as I mentioned before here, the strong Australian dollars. Personally, I see this as a huge milestone for us and our shareholders. If we remove the impact from the foreign exchange currency that we can’t control, our ASIC would have been about $960 an ounce. That means our plan is working. Today, we remain well-positioned to achieve our 2020 guidance of 90,000 ounces to 95,000 ounces at an all-in sustaining cost range of $1,050 ounces to $1,200 ounces. We already produced 74,000 ounces year-to-date. Our all-in sustaining costs average year-to-date is $1,071. While we currently do not expect any disruptions, our guidance for 2020 continues to assume that there’s no significant interruption in operation as a result of COVID-19. This is where I like to remind people, this is our first year of full production owning our first mill ever. This is certainly an operational successful transformation. There’s no doubt in our first year. Barry will discuss the financial results in detail, but before he does, I do want to comment on our healthy cash positions. For those of you that have been watching, you will have noticed our quarter-over-quarter cash position increased by over $17 million to $63.3 million at the end of Q3, sorry, $67.3 million, I apologize, I transpose a number, which was our first quarter with full exposure to market gold prices. Every other quarter we had hedges in place. They’re all rolled off now giving us complete exposure to the metal prices. With three strong quarters behind us in 2020, I’m certainly excited about finishing the maiden year with a strong fourth quarter. I’m looking forward to keeping the market updated on our progress as we continue to deliver on our goals to grow the company. At this point, I’ll turn the call over to Graeme who will provide additional information on our operational performance. Graeme?
Graeme Sloan: Hey. Thank you, Paul. I’m pleased to report we have achieved another positive quarter for Karora. As always, our first and foremost priority remains the health and safety of our personnel, and as outlined last quarter, we’ve now added the group occupational health and safety manager to the team to further spearhead our effort in this area. Our COVID management systems continue to serve us well and employee morale remains high. Over to slide six, on a consolidated basis tons milled totaled 354,000 or just under 25,000 ounces of gold, an increase of 9% and 3%, respectively, when compared to quarter two. The Higginsville mill continues to operate at full capacity. However, the addition of Spargos into the mix, sometime in the first half of next year, we’ll make prioritizing mill feed to achieve optimum recoveries and gold production even more important. To help manage this and our exploration activities, we have divided our operating region into four main centers. These being Higginsville Central, which include projects within a 10 kilometer radius of the mill, Higginsville Greater, which covers all remaining projects and deposits outside Central and Beta Hunt and then Spargos. Further details will be provided on this following the updated resource and reserve estimate due out later this year. At Higginsville, a total of 163,000 tonnes were milled for just over 9,000 ounces. This is a 27% increase in quarter two and was the result of high mill throughputs and a 9% increase in grade. Production was sourced from two open pits, with a third to be brought online in early quarter four. ROM stocks are at healthy levels and will be targeted to remain so as a risk mitigation against potential second wave of COVID or adverse weather events, which are normal for this time of the year. Moving to slide seven, at Beta Hunt total tonnes milled increased 3% from quarter two to 191,000 tonnes, with gold production of 150,500 ounces at an average mill grade of 2.75. Mine production was just shy of 200,000 tonnes or 16% higher than the previous quarter, mostly due to a continuation of improved operating practices and the addition of new equipment into the mining fleet. Production continued to be sourced from Western Flanks and A Zone. Earlier this month, we announced the new coarse gold discovery of approximately 2,000 ounces, not far from where the 2018 Father’s Day Vein was located. These discoveries are always welcome use and in this case also provided further support of our coarse gold model, which we’re now looking to apply to other areas in the mine. On to slide eight, with the exploration budget increasing the $15 million, drilling has been significantly ramped up across all power of centers [ph] and we’ll continue at these levels throughout quarter four. We now have six drill rigs active across Higginsville, Beta Hunt and Spargos. At Higginsville Central drilling primarily focused on open pit targets, including near surface mineralization at Aquarius. This drilling delivered a number of encouraging results, which could drive the development of the startup pit and offer an economic pathway into the Aquarius by grade underground resource. A high density gravity survey was undertaken over a 400 square kilometer area in eastern region of Higginsville Greater. The survey covers part of the highly perspective Zuleika and Boulder-Lefroy shear zones that host gold fields St Ives operations that is produced in excess of 14 million ounces of gold since 1980. Preliminary results from the gravity survey identified several high quality targets, some of which will be drilled during quarter four. We look forward to providing updates as results become available. On to slide nine, at Beta Hunt drilling was mainly focused on upgrading and extending the northern margin of Western Flanks and testing nickel trough targets out of the Alpha Island Fault. The results of this drilling was a successful discovery of the Larkin Gold Zone and the 30C Nickel Trough the first new nickel discovery at Beta Hunt in over 13 years. Slide 10, hot on the heels of acquiring the Spargos project, we immediately commenced drilling around the historic Spargos Reward mine. While this was happening, we successfully negotiated the acquisition and elimination of the 3% gold royalty covering the Spargos tenement. If all goes well, we could be mining Spargos as early as quarter two 2021. So, overall, another good quarter and hopefully more to come, especially with production and cost trending in the right direction and the six drills tuning as we speak. I’ll now turn over to Barry Dahl.
Barry Dahl: Thank you, Graeme. I’ll provide a few financial highlights from the quarter. Turning to just slide 12. Q3 revenue was $59.4 million, up $3.3 million compared to Q2. The revenue increase was primarily driven by an 18% higher realized gold price compared to Q2 and ounces sold were slightly lower due the timing of sales. In Q3 operating earnings were $49.2 million, up $36.3 million compared to Q2. The operating earnings increased was primarily due to an impairment reversal in respect of our Beta Hunt Mine of $36.1 million, which constituted a full impairment reversal, based on higher consensus gold prices and improved operating performance, the after tax amount of the impairment reversal was $25.3 million based on an Australian tax rate of 30%. In Q3 cash operating costs were US$972 and ASIC costs were US$1,044 per ounce sold. Cash costs and AIC costs converted from the Australian dollar functional currency and presented in U.S. dollars were negatively impacted in Q3 as the U.S. dollar weakened by approximately 8% against the Australian dollar as compared to Q2. The change in foreign exchange rates negatively impacted the U.S. dollar presentation of cash operating costs and all-in sustaining costs for Q3 by approximately $78 per ounce and $84 per ounce U.S., respectively. Our trend of ASIC reductions continued in Q3 due to lower royalties and improved productivity even with the FX effect. In Q3, net earnings were $34.9 million, an increase of $25 million from Q2 and adjusted EBITDA was $23.1 million, an increase of $5.7 million. We finished Q3 with a stronger balance sheet, including a cash balance of $67.3 million, an increase of $17.14 million compared to Q2. Working capital was $43.7 million. I will now turn the call over to Oliver.
Oliver Turner: Thanks, Barry, and hello, everyone. The third quarter was a very busy one for Karora as we participated in several virtual conferences and many virtual investor roadshows across both North America and Europe. On the back of this, we continue to add top tier institutions to our shareholder registry and build a strong institutional base for the next phase of Karora’s growth. Looking forward to the remainder of the year, we have several virtual conferences lined up, as well as additional marketing roadshows. While we’re certainly all ready to get back on the road to market the story once conditions improved, the unparalleled number of virtual investor meetings and calls we’ve been able to hold this year has directly translated into the strong registry we are proud to have today. On the corporate front, our decision to complete the 4.5 to 1 share consolidation, which took effect on July 31st, has resulted in more than a doubling of our daily dollar value traded as more institutions have been able to participate in our story and have driven increased liquidity in the markets. Moving forward, we’re looking forward to updating the market on continue drilling results across our properties now that our piece of drilling has significantly increased. We’re also very excited to announce our upcoming reserve and resource update, which will include the maiden resource and reserve estimate under Karora’s ownership at both Higginsville and Spargos. Moving into early 2021 we will then outline our organic growth profile which we have been working diligently on despite the challenges associated with drilling at site over the course of this year. We’ve also recommenced study work on ore sorters, which showed promise in early stage test work prior to the state border closures and shutdowns associated with the COVID-19 pandemic in Australia. These state border closures prevented additional tests work from being completed. However, the recent reopening of some hard borders in Australia has allowed this test work to resume and we will update the market on any decisions we make in early 2021. And with that, I’ll turn the call back over to Paul.
Paul Huet: Thanks, Oliver. I just want to thank everyone for joining us today and taking the time out of your day to listen into our call. We’re going to turn it over to the Operator for some questions here now.
Operator: [Operator Instructions] Your first question comes from the line of Derek Macpherson with Red Cloud Securities.
Derek Macpherson: Good morning, guys. And thank you for -- thanks for doing this call and graduations on what was a solid quarter. Just on looking out at some of the exploration work that you’ve done, obviously, you guys talks, materially expanded the drill program in Q4. At Beta Hunt, can you talk about specifically which areas you’re focused on and what you’re hoping to accomplish with that program?
Paul Huet: Yeah. Thanks, Derek. This is Paul. I’ll pick that one. Look simply renegotiated that royalty at Beta Hunt, we’ve been drilling really hard here and we’ve been very successful with those three new discoveries. We absolutely need to follow up on those areas. The Larkin Zones, for example, is south of the Island Fault here. If we can get below that Alpha Island Fault, the grade in the Larkin Zone appears to be almost double, almost double what we’re presently mining for average grade here. Now I’m talking about average grade. So we will certainly be following up in the Larkin Zone. We’ve only drilled above our heads. And as a reminder, we’re taking advantage of these drips that have been in -- that have been put there over 20 years ago. We found this Larkin Zone as a result of channels that’s like a drift. We drilled above our heads. We hit a massive gold thing below our feet. We don’t know what’s there yet. So we’re certainly going to be following up there. We are going to be following up on the new discovery of the Western Flanks extension, absolutely falling up there. And these nickel troughs that we’re discovering. They have the potential to really help us reduce our all-in sustaining costs here. So, certainly, you’re going to see some follow up drilling on the two new gold discoveries. They’re brand new and with the nickel discoveries, I think, there’s more to come from the nickel from what we’ve already seen. So that’ll be where we’re going to be focusing on Beta Hunt here. And we talked about the coarse gold area. We’re going to try to put drill holes in that geologic formation area as well. So that’s our focus for Beta Hunt.
Derek Macpherson: Okay. Thanks. And then, just my second question relates to COVID. Obviously, this is impacting operations. You guys are managing very well. I know in Q2, there was an impact from what seems like 100 years ago, the forest fires that were in Australia. The -- looking at Q3, did you see any -- is there any impact on the financials on inventory build? And then also, what do you think the impact was of COVID in Q4 or in Q3, sorry, cost…
Paul Huet: Yeah. So…
Derek Macpherson: … or per ounce basis?
Paul Huet: Yeah. So we have a total number that we’re carrying. It’s close to about $1.2 million right now in cost that we’re seeing that our direct and indirect cost that we’re capturing and that’s about a year-to-date number. So call it, $200,000 per month, $240,000 per month. It’s costing us extra money for the added people, the added screening. We were chartering an air flight. We were intentionally building an additional stockpile. We did that in advance. Anticipating if we ever got called and had to shut down operations, we wanted to be proactive. In the same manner, Graeme and his team did with the fires in Q4 of 2019. We built up a stockpile in front of the mill. We have done the same thing and continue to keep that stockpile in place, just in case things change and we get a surprise. So we’re being very proactive with respect to call that on every front. I’m happy to say that we have not had any cases that the operation. Graeme opened up about how important health and safety is and that’s at the forefront of everything we have been doing. So we’ve been doing a very good job at managing it.
Derek Macpherson: And then, just my last question and it sort of relates to COVID. Obviously, with the impact of COVID there was a bit of a -- the capital spend and then the drilling spend -- expenditures are ended up becoming a little bit lumpy in the years because of how and when you can spend money. What’s sort of the expected capital spend and then the exploration spend in Q4, specifically?
Paul Huet: Graeme, you want to finish that one up.
Graeme Sloan: Yeah. I will. Yeah. Look as far as that, you’re right, about the exploration drilling. It is all just gets pushed into the back end of this year. We have really got, as I said early on in the talk, we have six rigs out there. That most of that capital spend will get, I’m pretty sure, we’ll get close to that full $15 million, we might be a bit under, but most of that will as the drilling will focus in around those three centers that I said, Spargos, Beta Hunt and Higginsville Central. As far as the capital expenditure, it -- we’re on track to meet our target where our budget for the full year. We’re a little bit behind in the cap -- some of the capital development at Beta Hunt. That’s now being caught up. And we were a little bit behind on the pre-script of some of the pits, which is now also caught up. So, yeah, on budget for the capital expenditure, and I think, we will be a little bit under budget for the exploration drilling.
Derek Macpherson: All right. Thank you very much. Thank you very much, guys. That’s all for me.
Paul Huet: Thanks, Derek.
Operator: Your next question, that’s from the line of Matthew O'Keefe with Cantor Fitzgerald.
Matthew O'Keefe: Okay. Hey. Congratulations, guys, another good quarter. Just a couple of quick questions here. One, you didn’t really talk too much about it in the comments here, but earlier this week, you had a press release, excuse me, on Aquarius. And I have to say I was looking at those results and I was -- I mean, there’s some pretty high grades there. I don’t know how -- it’s not huge, but the grades seem to be quite impressive, particularly, well, both with the supergene that you’d had drilled off and then the historic. I’m just wondering what the plan is there and where it fits in the priority of your with respect to Spargos and some of the other discoveries?
Paul Huet: Yeah. Thanks for that. I’ll just open up here. I just want to comment that the day we put it out was quite the day for the entire sector and the market. I think gold had a whopping drop of $100 an ounce that day, it finally came back up. But so our press release kind of got buried. It is some phenomenal news. I’m actually going to let Graeme talk about it. But I remember when we put it out being quite excited and then watching the rest of the market react. So, Graeme, if you want to talk about Aquarius, please?
Graeme Sloan: Yeah. I will do. Yeah. Look, the Aquarius is really -- it is a very high grade underground, certainly, in some of the areas down there. We -- it’s stuff to add crop or doesn’t quite add crop [ph] on the surface. What we thought there is a supergene zone a little bit to the east of it. That supergene zone is what we drilled out. We will now look to use that as a startup pit for us type the pit down, it won’t be a very big pit. But what it will do it will open the door into that high grade. So we’ll take a pit down. It’ll pay for itself. It’ll pay for the first part of the development into the underground. And it will fast track us into that underground high grade area. So looking pretty good. We still have a bit more drilling to do along strike at that and fill some of those areas at depth. So it what could be rather a small start high grade could well and truly extend based on our geological model. But we’ll make further drilling. So it’s looking pretty good at this stage.
Matthew O'Keefe: So you’re -- but that drilling, like, will that continue in Q4 and Q1? Or do you have to circulate those drills around other targets?
Graeme Sloan: Yeah. We’ll look -- we’ll be finishing some drilling this quarter. And if everything turns out what we think it will then we could be mining that by early part of next year as part of our mined plan. One of the things that we’re saying there, we have an enormous amount of sort of material that’s in that sort of the 1 gram to 2 gram material. And what we’d love to find is one of these high grade sweeteners to put in there and blend in into the mill and that will really give the gold production a kick. So that and another couple of these underground high grades that we’re looking at to bringing on sometime next year.
Matthew O'Keefe: Okay. Thanks. Well, you’re moving fast on a lot of this stuff. Just on the subject, I mean, with all these various new deposits and you’re finding -- and we’ll get it quantified in the resource update, I guess, to some degree. There’ll be a lot of resource there. With respect to the mill now, I mean, I know you’re looking at some more sorters, you mentioned. But are you thinking about or is there an expansion opportunity or consideration to be done at the mill? Is that something you’ll be looking at or are you happy with the status quo?
Graeme Sloan: No. Look, the area is -- it’s a phenomenal area that we’ve gotten. And I think people sometimes underestimate just the quality of what the tenement package we have got. As I said, it’s sits between two really major mining centers, that has the same geological sequence that runs through there. It’s -- and it has all of these resources sit there that really haven’t been followed up, because of that rather onerous royalty that was over the lot of them. That’s gone. We’ve now gone back into these areas and it started to open up and it’s really starting to sort of deliver what we thought it could do. As part of as for the mill, the mill now is at full capacity. We’ve put in Spargos and that’s going to sort of then allow us to give us a bit more flexibility around the grade side of things to go into the mill. So at some point in time, we will need to look at expanding that plant. The plant can typically go up, it can go plus 2 million tonnes relatively straightforward without too many major changes. And so those sort of numbers, those sort of -- that sort of work is being undertaken as we speak and it’s all part of what we’ll outline early next year as part of our internal growth.
Matthew O'Keefe: Okay. No. That’s great. Okay. Thanks. Well, and again, congrats on a great quarter. Thank you.
Paul Huet: Thanks, Matt.
Operator: Our next question comes from the line of Ian Parkinson with Stifel GMP.
Ian Parkinson: Good morning, everyone. Thanks for taking my call and I hope everybody on the call is managing to stay healthy. You -- I mean you can kind of tell from the questions from Derek and Matt, exploration is really I think a focus. I’m looking at slide eight on your deck and I’m looking at, Beta Hunt is small star on the big map and you got 50,000 meters -- 50 kilometers of drilling plan. How are you prioritizing targets? Are you skewing more towards near-term production impact, instead of maybe what may be longer term but more resource growth there? Is there a thought process and how you’re allocating those meters?
Graeme Sloan: Yeah. Great…
Paul Huet: Go ahead, Graeme.
Graeme Sloan: Yeah. Thanks Paul. The great question, Ian. Look, the exploration or the geology is broken into three key areas. It’s the mine geology, which essentially takes a two-year window, look at the product -- and it’s really production focused. So there’s a bit of drilling goes into there, mainly around great control drilling, but then it becomes what we call our resource/reserve definition drilling program. And that sits by itself and that it has precision function of looking at all those resources and what sits underneath them and converts those resources into higher category resources or reserves taken there. And then you have exploration, which sits over there and it starts to look at the sort of the plus five-year -- five years to 10 plus years that sort of scenario. So most of our drilling now is focused in that middle area around the resource definition drilling and that sets Spargos with that Higginsville, and obviously, Beta Hunt. But we do spend quite a bit now is focused on exploration, because there are such great lot of targets sitting there. One of the big lot of targets came from when we did that high density gravity survey over the big part of Lake Cowan and that identified a number of targets, really good looking targets that we needed to follow up. So a big part of that expansion, the drilling in the last quarter of this year will be on Lake a core drilling, which will drill across a big chunk of those targets. We won’t get them all. But we will certainly get a large part of them. Very shortly we’ll have a light RC rig coming into follow up that a core and we have a diamond light rig to come in and follow up the RC. So, all that will happen in the next -- by the end of the year, at least one or two of those also will be coming in and that’s just one area. And there are a number of those areas that we can go in and drill. And so exploration, as you said, is a key part of our focus, is a key part of our future and our future growth. So we’re putting a lot of effort and a lot of money and a lot of resources into uncovering that potential.
Ian Parkinson: Okay. Thanks. And now just going one level deeper into that questioning and so thinking more than medium and longer term drilling targets. If perfect or best case scenario, you take into something that looks really promising really early in the campaign. Are you and management committed to doing that first pass on the targets before you drop the drill on the best looking target? Or are you willing to if results warranted early in the program, Parker rig [ph] on something that looks interesting, while you’re continuing to go through the rest of the targets?
Paul Huet: It’s -- Graeme I can take…
Graeme Sloan: Ian. Yeah. Go ahead.
Paul Huet: Go ahead, Graeme.
Graeme Sloan: I’ll just kick off, Paul. I am saying, when you have gold just stick to it and another things…
Ian Parkinson: Yeah.
Graeme Sloan: … that we’ll do, if we were to come in and we were to sort of get onto one of these targets, we will follow that. But it won’t be as like a lot of these areas say you can’t -- there’s only so much drilling, so much people you can put on to those areas. So we will be very disciplined in the way we do. But if we do come across one of those targets, we will definitely follow through. At the same time, we’ll continue our overall program, because you just never know when these targets if they’re going to be successful, partly or fully or not. And so you don’t always put your eggs in one basket. So it’s a -- we take a very disciplined approach to this as the way we do it. But certainly, if we were to hit something, we would follow that with a lot of majors very quickly.
Ian Parkinson: Okay.
Paul Huet: Yeah. Ian, I would certainly agree and support that. We hit something early on in the campaign. We’re certainly going to be allocating dollars and resources to follow up on it.
Ian Parkinson: Okay.
Paul Huet: We just started drilling at Spargos. So let’s see what happens even there.
Ian Parkinson: Okay. Great. Thank you very much. Stay well everybody.
Paul Huet: Thank you.
Operator: Your next question comes from the line of Nicolas Dion with Cormark.
Nicolas Dion: Hi, guys. Congrats on another great quarter. A few questions. First, I’m just wondering if you can comment a bit on how Q4 is looking so far, now that we’re nearly halfway through it? And also, if you could talk about the progress you’re making towards your $1,000 all-in sustaining target in terms of the mining and processing costs?
Paul Huet: Yeah. So if we just look at what happened this quarter, we had such an impact this quarter on our ASIC, just with currency exchange. We were really -- if you remove that currency exchange, we were at $960. That -- we have no control over currency. If you looked at our all-in sustaining costs on an Australian dollar and look at the five quarters we’ve been mining and operating, we’ve actually achieved our targets. So getting to that $1,000 an ounce is something we’re certainly very, very focused on we want to get to. We can’t control the effects if the dollars continue to work against us. That might become more challenging. If it’s $150 next quarter. It might be, like I said, more challenging. But more importantly, where we spend all our costs and our revenue coming in in Australia, we’re driving that down. That’s really critical to us to achieve our goals. So that’s the ASIC. What was the other question, sorry?
Nicolas Dion: Just asking how Q4 is looking so far. In other words…
Paul Huet: Yeah. So look.
Nicolas Dion: How that’s doing?
Paul Huet: Q4 is going to be an exciting quarter for us. We were not hedged anymore. Q3 saw part of it, no hedges. So we’re certainly on track as we mentioned earlier to achieve our production, our guidance. We hit some coarse gold, as Graeme mentioned, that’ll be included into Q4, which will be -- over and above, which will be nice. So Q4 is certainly on track.
Nicolas Dion: Okay. Thanks. And then on Higginsville or Hidden Secret and Mousehollow, I am wondering if you can elaborate on the work you’re doing there and when we may expect those to enter into production?
Paul Huet: So you want to do that, Graeme, or you want me to do it.
Graeme Sloan: Yeah. I’ll just do. As far as Hidden Secret, our pre-stripping of the pit commenced in August. We’ll be mining ore this quarter in which in fact we are and the Mousehollow permit approval process should be all in place by the end of the year. And what it’s looking like now with those both pits as they well -- may well merge into a single pit. And we have some linking structures that will join -- it looks like that join the two. So that’s going to be rather exciting to see where that is. The grade control drilling we’re doing at both places as is either confirming or exceeding what we thought there. So that little pit or that pit there is looking to be, it could be quite an important one for us going forward. We’ll see where that goes.
Nicolas Dion: Okay. Thanks. And then just the last one, you touched on this a bit already, but I am wondering if you can elaborate even more on the potential you see at Lake Cowan?
Paul Huet: Yeah. Graeme, go ahead.
Graeme Sloan: That’s -- yeah. That’s -- that one there. I call it is a really interesting one. It’s -- now I call our geologists very excited. They have picked up a number of what they what looked like paleochannels, as well as some hard rock targets. We have -- as I said, we have this the air core rig out there now, even though we’ve had a few rain events, which puts a bit of water on the Lake. They are still been operating. Results won’t start coming through until this -- later in this quarter. But it’s -- as I said, it’s the same geology, it’s the same structures that run right out through gold fields St Ives and they’ve been mining there since 1980, and as I said, over 40 million ounces come from there. So if you go south of Lake Cowan -- to the Lake Cowan you actually go into Baloo, the open pits that we have got. So, we can see linking structures that go head down that way. And then you below south of Baloo, you have Monsoon and then Oak [ph]. So all of that area is now starting to look really quite perspective for us and really can’t wait until some of that drilling results that flows through now. As you know, with exploration, it’s always you have to be careful. It’s no one knows what’s down there and certainly the drilling will help us understand it. But, I’m particularly excited to see where that’s going to head for us, Nicholas.
Nicolas Dion: Okay. Great. Thank you.
Operator: Your next question comes from the line of Dana Allen, a private investor.
Unidentified Analyst: Yes. Hi. Hi, Paul. I see, you mentioned, the 2,000 ounces of coarse gold you got at Beta. Can tell us more about that?
Paul Huet: Yeah. Thanks, Dana. Seems like a lot of people want to know more about it, and quite honestly, we’re always eager to learn more about it. So thanks for the question. The one thing I will say is this, our geology team are thrilled that we’re really gaining a huge understanding of the geologic formation of which is iron rich location where we’re finding this coarse gold consistently throughout every discovery we’ve had. So I’m also pleased to say that, look, we announced it was 2,000 ounces. Since then we’ve continued to mark that face. We’ve added at least 25% more to that discovery. So at least another 500 ounces are going to come into this quarter. So we’re likely going to be able to sell them all in this quarter. I’m pretty sure we’re going to. And I do want to comment on one thing, I’m glad you actually mentioned it. These coarse gold injections, say, this one’s going to be 2500 ounces we’re seeing. We’re going to continue to report them as we discover them. But if you look at the year 2020, our first maiden year, our first three quarters, except for just now, our first three quarters, we mined Beta Hunt at the average grade. We added a whole lot of new institutional shareholders. And they came into this story because we’re able to demonstrate that we’re very disciplined in our cost savings and that we’re able to make Beta Hunt economics without the coarse gold. So as exciting and as excited as we are about the coarse gold, I just want to remind people that Beta Hunt is economic without it. The 2000 is now up to 2500 ounces, which is we’re very happy about and we’ll continue to disclose it as we find it. But we’re certainly getting an improved understanding of it. If we could get 2500 ounces a quarter that would be such a blessing. It’s almost A$6.5 million dollars injection with very, very low cost. So nobody’s more thrilled to find it than we are. So thank you for the question.
Unidentified Analyst: Thank you.
Operator: At this time, I would like to turn the call back over to Mr. Paul Huet.
Paul Huet: So I guess we end on the coarse gold one time. So it’s been an exciting quarter. We’ve done some amazing things. I can’t tell you how proud I am of the team’s efforts, the sacrifices we have made. More importantly, I can’t tell you how thrilled I am with our shareholders. I get to speak to shareholders on a daily basis, the new one, the existing one. I’m happy to always listen. We thank you for your support and we wish all of you and your family a very healthy future. Thank you very much and have a great day.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for participating. You may now disconnect.